Operator: Welcome to the Community Bank System Third Quarter Earnings Conference Call. Please note that this presentation contains forward-looking statements within the provisions of the Private Securities Litigation Reform Act of 1995 that are based on current expectations, estimates and projections about the industry, markets and economic environment in which the company operates. Such statements involve risks and uncertainties that could cause actual results to differ materially from the results discussed in these statements. These risks are detailed in the company’s Annual Report and Form 10-K filed with the Securities and Exchange Commission.
 Today’s presenters are Mark Tryniski, President and Chief Executive Officer; and Scott Kingsley, Executive Vice President and Chief Financial Officer. Gentlemen, you may begin. 
Mark Tryniski: Thank you, Erin. Good morning, and thank you all for joining our third quarter conference call. It was another busy and productive quarter for the company. Earnings per share of $0.54 excluding acquisition expenses equal our all-time high quarterly results. Decline in margins over the last year’s third quarter cost us $0.06 per share which was overcome by a 15% larger average balance sheet, 11% greater fee income and improvement in the efficiency ratio.
 Credit demand was again the highlight of the quarter with loans growing organically nearly a $100 million for the second consecutive quarter or 11% annualized. Mortgage and consumer installment lending remained very strong with business lending declining modestly. Given the historical seasonality of our loan cycle, it’s important we perform well in the second and third quarters of every year and we certainly did that this year. During the quarter we closed on both legs of the branch acquisition previously announced in the first quarter consisting of 16 branches from HSBC and 3 branches from First Niagara.
 In the aggregate, we assumed approximately $800 million of deposits and $160 million of loans at a blended deposit premium of 3.2%, both conversions went extremely well and we subsequently consolidated 5 acquired branches into existing community bank branches to further enhance the economic and operating efficiency of the transaction.
 Our principal business focus is creating, growing at sustainable returns to our shareholders. In September, we announced an increase in our quarterly dividend from $0.26 to $0.27 per share which marks the 20th consecutive year of increasing dividends. We’re pleased with this milestone and to join a small handful of banks across the country who achieved it. It also represents a pay-out ratio of just over 50% affording us considerable capital retention to fund ongoing organic and acquired growth.
 Looking forward, we expect our operating strength to continue with solid earnings, a larger balance sheet, operating efficiency plus full and growing capital levels and sound asset quality. As I commented last quarter, I expect our principal challenge in the near-term will be to maintain earnings in a declining margin environment.
 We’ve been able to accomplish that for the past several quarters through growth in the balance sheet, growth in non-interest revenues and focused expense control and we will continue to vigorously manage both the left and the right side of our balance sheet in the top half and bottom half of our P&L. Scott? 
Scott Kingsley: Thank you, Mark, and good morning, everyone. As Mark mentioned, our operating performance for the third quarter remained very favorable and at record quarterly levels. Our third quarter reported earnings of $0.46 per share included $0.08 of share of acquisition expenses as well as $0.01 per share of additional loan loss provision of related to loans we just acquired.
 We completed the acquisition and conversion of 16 former HSBC branches in July and the remaining 3 First Niagara branches in September which resulted in the third quarter reflecting the various attributes of the transactions at roughly 70% of a full quarter impact. As a reminder, we initiated a liquidity pre-investment strategy late in March of this year deriving a meaningful portion of the transactions' positive impact on net interest income in the second quarter.
 Upon the completion of the branch transaction we did fully extinguish all remaining short-term borrowed funds and for the third quarter, we're in an overnight invested cash position that averaged $138 million nightly. Also, as a reminder we did raise the necessary capital to support the branch acquisition in late January which did negatively impact the EPS for the first half for the year.
 We felt strongly that it was important to eliminate any potential market uncertainty relative to our ability to timely capitalize the deal. We believe the successful execution of the common stock offering in January validated that decision despite the $0.01 per month EPS dilution that it did entail.
 I’ll first discuss some balance sheet items. Average earning assets of $6.63 billion for the quarter were up $322 million from the second quarter of 2012 and included an increase in cash equivalents of $128 million and an increase in average loans of $196 million. Investments were essentially unchanged from the second quarter. Ending loans were up $251 million from the end of the second quarter and included increases in all portfolios from solid organic growth as well as those acquired in the branch purchases.
 The net increase in our business lending portfolio in the third quarter was principally acquired as contractual and other unscheduled principal reductions, continued to offset new loan generation. Asset quality results in this portfolio continued to be stable and favorable to peers with net charge-offs of under 30 basis points over the last 9 quarters.
 Our total consumer real estate portfolios of $1.76 billion comprised of $1.39 billion of consumer mortgages and $372 million of home equity instruments were up $163 million from June and included both acquired relationships as well as solid organic generation. Consistent with the fourth quarter of 2011 and the first 2 quarters of this year we continued to retain in portfolio most of our mortgage production in the third quarter and were able to productively add to our outstandings at blended yields of approximately 4.2%. Asset quality results continued to be very favorable in these portfolios with total net charge-offs over the last 9 quarters of $2 million or 6 basis points of loss.
 Our consumer indirect portfolio of $642 million was up $51 million or 8.6% from the end of the second quarter consistent with seasonal expectations and still improving demand characteristics. Used car valuations, where the largest majority of our lending is concentrated, continued to be stable and favorable. Net charge-offs for the last 9 quarters were $3.4 million or 28 basis points, which we consider exceptional.
 With our continued bias toward A and B paper grades and the very competitive market conditions in this asset class yields have trended lower over the last several quarters. Although we have continued to report very favorable net charge-off results, we have experienced an upward trend in non-performing loans since the third quarter of last year comprised of both legacy and acquired loans and ended the third quarter of 2012 at $30.7 million or 0.81% of total loans. Of that total $16.8 million or 55% are business lending related and $13.9 million or 45% were consumer real estate products.
 Our reserves for loan losses represent 1.24% of our legacy loans and 1.12% of total outstandings. As of September 30, fair value based loan marks related to the $346 million of outstanding balances acquired in the Wilber transaction approximated $15.5 million or 4.5% of the remaining acquired balances, which are not reflected in the allowance for loan losses. The net fair value loan marks related to the $155 million of outstanding balances acquired in the third quarter branch transactions were $2.1 million or 1.4% of remaining balances. However, we were required to record an additional $450,000 of day one loan loss provision in third quarter on recently acquired loans where the net fair value of the pool was actually deemed greater than its par value.
 As of September 30, our investment portfolio stood at just under $2.9 billion, and was comprised of $571 million of U.S. agency and agency-backed mortgage obligations or 20% of the total, $774 million of municipal bonds or 27%, $1.47 billion of U.S. Treasury Securities or 51% of the total. The remaining 2% was in corporate and other debt securities, including our holdings of pooled trust preferred instruments, which continued to fully perform.
 The weighted average life to maturity of the portfolio is approximately 6.6 years with an effective duration of 5.1 years, and reflects our late first quarter 2012 decision to pre-invest approximately $600 million of our then existing and expected liquidity in U.S. Treasury Securities with a blended yield of 2.3%.
 Net unrealized gains in our $2.2 billion available-for-sale portfolio were $144 million at the end of September. In addition, there was approximately $70 million of unrealized gains in our $706 million held-to-maturity portfolio.
 Average deposits in the third quarter of $5.48 billion were $566 million above the second quarter of 2012, and $683 million or 12% above the third quarter of last year and included the recently completed branch transaction. Core deposits, or everything other than CDs for us, now represents 81% of total deposits, a very stable and favorable funding mix. Total third quarter deposit costs were down to 32 basis points.
 Our capital levels in 2012 have continued to improve, and included approximately $55 million of net proceeds from the previously mentioned January common stock offering to support the branch acquisitions. The Tier-1 leverage ratio stood at 8.32% at quarter-end, and tangible equity to net tangible assets was 7.54%, a 75 basis point increase from last September. As a reminder, we did also issue an additional 3.4 million shares of common stock, or $82 million of equity, in conjunction with the Wilber acquisition in April 2011 which has a meaningful impact on year-over-year comparisons.
 Our improvements in equity over the past several quarters have been generated from consistently strong operating earnings. As I’ve mentioned before, consistent with regulatory instructions, our calculation of the company’s tangible equity ratio includes adding back to both the numerator and denominator $27 million of deferred tax liabilities associated with tax deductible goodwill created from several of our asset acquisitions, primarily branch transactions. Excluding of this differential would render our comparisons to peers incomplete. And since we’ve recently closed another branch transaction in the third quarter, which will create additional tax-deductible goodwill, I will keep mentioning it.
 Shifting to the income statement, as expected our reported net interest margin for the third quarter was 3.79%, down 17 basis points from the second quarter and included the effects of the completed branch acquisitions. Retention of higher cash balances contributed nearly half of the margin reduction and the timing of our semi-annual dividends from Federal Reserve reduced the third quarter net interest margin by 3 basis points from the second quarter.
 Proactive management of deposit funding costs continued to have a positive effect on margin results but has not been able to fully offset declining asset yields. Despite the lower margin results for the quarter, as Mark said, net interest income was up 1.7% from the second quarter and 7.7% higher than last year’s third quarter, reflective of our larger earnings asset base.
 Third quarter non-interest income, excluding security gains, was up 10.1% from last year’s third quarter. The company’s employee benefits administration and consulting businesses posted a 16% increase in revenues, principally from the CAI Benefits acquisition completed last December. Our wealth management group generated 10% revenue improvement from last year and included solid organic growth in trust and asset management services.
 Compared to last year’s third quarter, the company generated $900,000 of increase in deposit service fees or 8.3% as the addition of new deposit relationships and solid growth in debit card related revenue more than offset the continuing trend of lower utilization of overdraft protection programs.
 Net mortgage banking revenues of just $128,000 in the quarter were almost entirely from servicing fees, reflective of the decision to continue to hold the majority of our current mortgage originations in portfolio.
 Quarterly other banking services included our annual dividends from certain group life and disability insurance programs and added approximately $0.01 per share to our results.
 Excluding acquisition expenses incurred in both periods, third quarter operating expenses of $51.3 million were $3.6 million or 7.5% above the third quarter of 2011 and reflected the additional operating costs associated with the CAI acquisition completed in late 2011 and the branch acquisitions completed this quarter.
 Our effective tax rate in the third quarter and year-to-date 2012 was 29.1% versus 28.2% in the first 3 quarters of last year, reflective of a higher level of income from fully taxable sources. On a trailing 12-month basis, our earnings were $2.07 per share, excluding $0.09 of acquisition expenses. Our ability to generate incremental capital and reward shareholders with a meaningful and growing cash dividend annually stems directly from the commitment to a disciplined and balanced approach to our business, regardless of market conditions.
 I’ll now turn it back to Erin to open the line for questions. 
Operator: [Operator Instructions] I have Joseph Fenech. 
Joseph Fenech: Scott, you said that the third quarter represented about 70% of a full quarter impact from the deal, so the margin was down 17 basis points, is it, back of the envelope, is it way too simple to assume you’re going to see another 6 basis points or so of a NIM compression in the fourth quarter related to the deal or is there other considerations with, putting the excess cash to work what have you that can offset a bit of that? 
Scott Kingsley: Really good question, Joseph, I do think, we think where there is a little bit more erosion coming in the fourth quarter just from the expected retention of cash balances. There is really nothing all that attractive for us right now in the current environment, from adding to your point full utilization or full invested outcomes, that’s why I do think we expect maybe to your point 3 to 6 more of margin erosion. 
Joseph Fenech: Okay. And then, saw a deal at a pretty high multiple in Syracuse over the past since you had your last conference call, can you just talk about your appetite for acquisitions kind of in and around the market, just remind us what your geographic preference is for, preferences are and then sort of the threshold in terms of asset size and then I know that’s a lot all at once, but just if you could talk generally about your appetite for deals, that would be helpful? 
Mark Tryniski: Sure. Thanks, Joseph. I think as everyone knows one of the elements to our growth strategy is high value acquisitions and I think we first and foremost try to take a very disciplined approach to identifying those opportunities as well as evaluating those that that come to us. We have, as you know, this year closed on the Branch acquisition; last year, closed on the Wilber acquisition; in 2008 closed on the Citizens branch acquisitions in Northern part of New York State. So certainly continue to have an ongoing appetite for acquisition opportunities which will first and foremost create value for our shareholders. In terms of the question of size, I think we have done the last handful of transactions that I just commented on and then somewhat larger than the previous acquisitions mainly because of just the growing balance sheet of the company and it evolves to a point where you can’t get the sufficient shareholder benefit out of the smaller transactions. So I think if you look at the last 3 in size they were in the 600 to 900 [indiscernible] range. We certainly would continue and will continue to look at opportunities in that range and maybe even modestly above that for an opportunity that’s highly attractive I think. We certainly look at billion-dollar range opportunities if they had proper risk reward characteristics, were properly qualitatively attractive and most importantly represented high value opportunity for our shareholders. Geographically, we continued to look principally within and contiguous to our existing footprint in upstate New York and Northern New York, Western New York. The Wilber merger allowed us to look closer into, down towards, the Hudson Valley region and maybe, the Northeast corner of Pennsylvania and maybe the Northwest part of New Jersey. We’ve been interested in Ohio as well and really in Pennsylvania across Pennsylvania East to West we'd certainly be interested in as well. In addition to banking opportunities we spend over the last few years have acquired a number of non-banking enterprises principally in the benefits administration and actuarial consulting space, where we have now a $35 million a year revenue business and very strong margins. We will continue to look to integrate those businesses and look to expand that business as well. We like that business, the margins are good. We have strong management. Perhaps most advantageously those businesses require very little capital to operate because of their balance sheet. So we continue to look at that. Wealth management area is about $10 million a year business for us right now, has continued to grow through organic means. We have not done acquisitions per se other than acquisitions of people who are highly additive to that business so the wealth management business continue to perform very well and I suspect our growth strategy there will continue to be for the most part in and around acquiring people resources that represent opportunities for us to grow that business. I hope that I answered all your questions satisfactorily Joseph. 
Joseph Fenech: Yes. I had just one follow up and that’s all helpful, Mark, but does the price paid in the Syracuse deal change the landscape at all in terms of how you are thinking about things of upstate New York or should we just not be that surprised and just sort of the cost of doing business in a market where all the potential acquirers traded big multiples? 
Mark Tryniski: I am not going to comment on a specific transaction. I think when we look at any opportunity, we look at first and foremost the opportunity to create value for our shareholders which is can we grow earnings in a fashion that’s commensurate with the risk associated with the transaction and can we grow our dividend and is it sustainable and those are the metrics and the framework that we use to evaluate any acquisition so we aren’t so much wedded to any notion of here is what the last 10 deals are or here is what the going multiple is in the market. We look at what can we put together in the transaction that makes sense for our shareholders first and foremost and if a transaction does not makes sense for us in terms of the opportunity it creates for earnings accretion then we will not do it. So I guess the answer is it doesn’t really matter to us what the multiples in market are when things get over heated we will probably do fewer acquisitions and we'll grow and create growing earnings other ways and when multiples are such that we can be successful we’ll have more opportunities so I don’t view it as much as a function of what the market is as what the opportunity is in any particular transaction to create solid accretive growth for our shareholders. 
Operator: The next question comes from David Darst. 
David Darst: So just the organic loan growth trends continue to be pretty good and that I guess should we think about your ability to continue to grow residential mortgages along with the refi wave or you’re actually seeing something different where you think you can continue to grow residential portfolio and consumer loans and use that as a way to soak up some of the liquidity you have at period end. 
Mark Tryniski: Looking right now our residential pipeline is over $100 million, it really hasn’t come down much since the end of the last quarter so I suspect that Q4 will be another very strong year with respect to residential mortgage growth. I mean, it’s clear if you look at the last couple of quarters and even beyond that in terms of the refinancing trend, it’s above the trend line, right. So it’s above average and I think we will continue to see moderation and decline of those pipelines in those originations as the refi boom wears out but with that said I think we’ve always even through, if you look at 2008 and 2009 when things weren’t going well generally, in terms of the economy and real estate in particular, we still have very strong mortgage originations. So I think some of that is just a function of the markets we’re in they didn’t boom and crash as hard. So I think the core purchase money mortgage originations have tend to be relatively stable I think, the deviation right now from, from the standard trend line is more a function of refinancings which will decline as the refinance trend declines. 
Scott Kingsley: David, I think we’ve said before too that, our consideration for the portfolio and of mortgages also reflects the fact that we’ve a very small investment portfolio that is mortgage backed securities and as you can expect that’s running off relatively quickly with the refinancing activities in the marketplace and understand that we would rather portfolio our own originated paper at par than pay 103 or 104 or 105 premium to buy buckets of MBS securities that are actually, not in our marketplace usually. So I think that’s some of the other ALCO considerations, we give to relative to holding versus selling. 
David Darst: Where would you see the mortgage portfolio increase, what’s the maximum levels as a percentage of loan portfolio, you’d be comfortable with it? 
Scott Kingsley: David, I don’t know that we’ve penciled in any maximum level, I think if you look at in terms of risk characteristics for us, we’ve got a ways to go. When you have a portfolio that has 6 basis points of loss, you’re really not spending a lot of time worrying about the loss or the loss development characteristics of that portfolio. I think instead we would be more paying attention to expected duration characteristics over a cycle. 
Mark Tryniski: I think the other point is that $1.4 billion, it doesn’t represent an over-weighting of our total interest earning assets as well. So I think we’re not like, we may certainly at some point make the judgment to sell more of the 30 year production. Right now, a lot of the production last couple of quarters has been 15 year and 20 year. So the average maturities are not at 30 years, they’re much less than that and the ultimate duration of that asset class is closer to 10 to 12 year. So at this point we’re not really concerned about it in any respect it doesn’t represent an over-weighting if you will in our view of interest earning assets on the balance sheet. 
David Darst: Okay. And are there small business or other commercial relationships that were housed in the branches that stayed with either HSBC or First Niagara that create opportunities for you to drive more value out of the branches? 
Mark Tryniski: They’re little bit and to clarify that there were relationships at the mid market and above level that stayed with HSBC across multiple geographies above State of New York. As you might expect those are probably more concentrated in the 4 urban upstate markets where our participation is a little bit lower. But I would say it does create some opportunities for us relative to, that small business person who did end up staying with HSBC or who was purchased by First Niagara, making another decision on their long term banking needs. So I think any kind of positioning or displacement opportunity does create an opportunity for other institutions much like us but I think what you’ll find right now and I don’t think upstate New York is radically different than the rest of the country. It’s a very competitive landscape for commercial banking right now. There is a lot of people with lot of liquidity and they’ve come through the cycle and survived periods where they were forced to shrink their balance sheet some of the competitors in our marketplace and now they’re back at it in full glory. So I think our stance is that continues to be a competitive area. We continued to have to pick our spots in that area but I think that’s probably why you’re not seeing us, with outside growth characteristics in commercial banking right now. 
Operator: The next question comes from Damon DelMonte. 
Damon Del Monte: Scott, I was wondering if you could give us a little guidance on the overall expense base once all of the moving parts are shaken out, is what would be a good range for us to look at for the fourth quarter kind of going into 13. 
Scott Kingsley: In terms of the basics Damon I would probably say is that, if we think we’ve encouraged 70% of the operating activities and the operating cost associated with the acquired branches, if you just did the math generically you’d probably add another $800,000 to $900,000 of fourth quarter expense to get a full run rate. I think we’re actually hoping to do little modestly better than that. I think we think some of the consolidations we did simultaneous with the closings will allow for a little bit of, little bit of opportunity for us there. The fourth quarter for us is a little bit seasonally more expensive as we turned the heat on in some of our branches and as you know the first quarter is a bit more expensive than that. So from a run rate standpoint, third quarter is usually pretty good for us. So I would expect a little bit more need for a little higher incremental expense base in the fourth quarter plus the acquisitions we just talked about. We’re in our budgeting cycle and our forecasting cycle for next year already, I think we expect some kind of cost of living basis in terms of merit increases, in terms of other attributes of our existing expense base, but I don’t think it’s far outside of the historical norm, Damon. 
Damon Del Monte: Okay, it’s helpful. With regard to the provision for loan losses, this quarter is $2.6 million, last quarter is $2.2 million, you haven't been above the $2 million level for a while, how should we think about the provision kind of again going through the fourth quarter and as you look out into 2013? 
Mark Tryniski: You know Damon, I think that, I will make the comment about $0.5 million of this quarter’s provision was from the rather confusing and sometimes perverse outcome of fair value loan accounting to find acquisitions in that in certain of the assets that we acquired or some of the retail assets that we acquired actually had a higher interest rate mark, than they did loan credit mark. So in other words, we acquired assets with a fair value higher than their par value or contractual value. So what that created and the only other transaction I thought of that was even close to this was the Capital One / ING transaction where they actually had a write-up in their loans which meant on the first day or on for day one purchase accounting, they had to record a provision for loan loss for now inherent loans, and that’s a lot for people to swallow in terms of understanding but I think if I look at a going forward expectation, I would say, I wouldn’t expect that $0.5 million to exist going forward. And I think any time your charge-offs are between $1.3 million or $1.4 million and $2 million and you have a growing loan portfolio, a $2 million provision is not out of the norm for us. 
Operator: [Operator Instructions] Sir, at this time I have no other questions in queue. 
Mark Tryniski: Great, thank you, Erin. Thank you all for joining the call this quarter and we will talk again next year. Thank you. Thanks. 
Operator: That concludes today’s conference. Thank you for your participation. You may now disconnect.